Operator: Good morning, and welcome to the Perma-Fix Fiscal Third Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. [Operator Instructions] Please note this conference is being recorded. I will now turn the conference over to your host, Mr. David Waldman of Crescendo Communications. David, the floor is yours.
David Waldman: Thank you, Jenny. Good morning, everyone, and welcome to Perma-Fix Environmental Services third quarter 2024 conference call. On the call with us this morning are Mark Duff, President and CEO; Dr. Louis Centofanti, Executive Vice President of Strategic Initiatives; and Ben Naccarato, Chief Financial Officer. The company issued a press release this morning containing third quarter 2024 financial results, which is also posted on the company's website. If you have any questions after the call, would like any additional information about the company, please contact Crescendo Communications at (212) 671-1020. I'd also like to remind everyone that certain statements contained within this conference call may be deemed forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and include certain non-GAAP financial measures. All statements on this conference call other than a statement of historical fact are forward-looking statements that are subject to known and unknown risks, uncertainties and other factors, which could cause actual results and performance of the company to differ materially from such statements. These risks and uncertainties are detailed in the company's filings with the U.S. Securities and Exchange Commission as well as this morning's press release. The company makes no commitment to disclose any revisions to forward-looking statements or any facts, events or circumstances after the date hereof that bear upon forward-looking statements. In addition, today's discussion will include references to non-GAAP measures. Perma-Fix believes that such information provides an additional measurement and consistent historical comparison of its performance. A reconciliation of the non-GAAP measures to the most directly comparable GAAP measures is available in today's news release on our website. I'd now like to turn the call over to Mark Duff. Please go ahead, Mark.
Mark Duff: Okay. Thank you, David, and good morning, everyone. This quarter has been both challenging and rewarding for Perma-Fix as we continue navigating industry headwinds and seizing transformative opportunities. For Q3, we reported revenue of $16.8 million, reflecting a continued market challenge. In response to these challenges, we reduced expenses and streamlined operations outside of R&D to prove our future profitability. Additionally, performance within our Services segment and treatment plants showed steady improvement in the latter part of the quarter, which is expected to continue into Q4, giving us some renewed confidence as we move forward. Similar to last quarter, we faced operational disruptions, particularly at our Perma-Fix, Florida facility. Hurricane-related outages impacted productivity, along with delays in repairing our thermal treatment system, which caused six weeks of downtime in Q3. These repairs are now complete, and our team is working through the backlog that accumulated during this period. A significant milestone this quarter was the launch of our first commercial Perma-FAS system for PFAS treatment at our Florida facility. This achievement is a culmination of extensive R&D investments and months of focused work from a dedicated team of scientists, engineers and key personnel who redirected their efforts to this priority project. We assembled a team of 15 people who took this technology from pilot scale to fully commercial unit within six months, a monumental feat for a firm of our size. This accomplishment has had a short-term impact on other areas of our business, including sales and engineering, but it also allows us to reallocate some of these resources back to core programs as we move forward. The Perma-FAS system is capable of treating approximately 650 gallons of PFAS liquids, including AFFF in about an eight-hour cycle. For now, cycles are limited to two to three per week as we continue ongoing analytical campaigns to test variables and optimize its performance. These cycles will increase as we complete the testing programs. Our current inventory backlog includes about 6,000 gallons of PFAS material with commitments for an additional 20,000 gallons in the coming months. We're also actively pursuing partnerships that we expect will bolster our sales and further enhance our capacity to process PFAS contaminated waste. We have invested heavily in PFAS technology deployment, both in capital and in our team's time, with about $930,000 allocated this quarter and a total of $1.6 million year-to-date. We anticipate a similar level of investment over the next three quarters as we push forward our strategy to penetrate the PFAS market and broaden our offerings with new technologies and systems. Our next steps in the Perma-FAS program involve engineering optimizations to improve margins and efficiency while we continue through Q4 and into 2025. The data we gather will also guide the development of a second-generation unit planned for deployment in the latter part of 2025. This continuous improvement by our engineering team will also support our goals to continue to develop a broader application to include granulated activated carbon, also known as GAC, biosolids and soils. This level of functionality could set us apart as a leader in PFAS treatment and destruction in an area of increased importance due to the regulatory pressures and environmental needs in the market. Our waste receipts showed improvement from last quarter with our equipment breakdowns behind us. We have opportunities to improve our waste mix and drive higher efficiency waste streams and margins and productivity across all of our facilities. Recent improvements made at our DSSI and Florida locations have strengthened our ability to maintain waste processing operations with reduced downtime. Additionally, our July acquisition of the Environmental Waste Operations Center, also known as the EWOC facility in Oak Ridge, Tennessee, further enhances our operational capabilities, allowing us to sustain higher productivity and manage larger waste volumes efficiently. In our International segment, we anticipate receiving several larger waste streams from international sources, including Canada, Mexico and Germany beginning in Q4 and running through Q2 of next year. These shipments are expected to generate nearly $7 million in revenue over this period, marking a strong international revenue stream for Perma-Fix. Moreover, our discussions for a European facility that will deploy the thermal technology from our Northwest facility into England are progressing well. This type of expansion would increase our value to clients abroad and grow our total addressable market. Our €50 million contract with the Joint Research Council in Ispra, Italy is also progressing steadily with permitting and document preparation underway to support remediation activities expected to start in late 2025 or early '26. Other significant developments this quarter was our selection as an integrated subcontractor by a U.S. government agency for a 10-year $3 billion project. This award reflects the strategic direction we have pursued for years and places us within a team known for its excellent in the nuclear services industry. As defined in the request for proposal, the contract is structured as an end-state contract, which is a common for large-scale procurements where a comprehensive management and technical approach is outlined in the initial proposal. Once awarded, the government will provide noncompetitive task order requests, which require detailed cost estimates and technical proposals as work progresses. We recognize our investors are eager for more details on this award, but as this contracted in a mandatory protest period, we're limited in what we can disclose until a final notice proceed is issued for transition. Once we are clear to begin, we'll enter a four-month transition phase to respond to task order requests for the broader long-term scope. This will be followed by a notice proceed to initiate operations and project work and assume contract responsibilities from the incumbent. We're also optimistic that additional opportunities to work alongside the awardee of the ITDC contract at Hanford, particularly in supporting their very ambitious small business goals is forthcoming. We anticipate these opportunities to be more clearly defined as we enter Q1. Our work at Hanford also continues to advance as we prepare for the Direct Feed Low-Activity Waste or DFLAW program, which is anticipated to start receiving tank waste for hot commissioning activities in the summer of 2025. The DOE recently adjusted their coal commissioning timeline by approximately four months, but it continues to reaffirm that hot commissioning, which includes testing with actual tank waste is on track. Our Perma-Fix Northwest facility is positioned to receive DFLAW affluent based on anticipated volumes, and we're beginning to design the expansion programs that will support the full-scale operations of up to 8,000 cubic meters annually of volume outlined in DOE's January '23 record decision. This expanded capacity is expected to come online gradually as the DFLAW plant ramps to full capacity in the coming years. Our Perma-Fix Northwest site uniquely located near Hanford, not only supports efficient waste processing, but also mitigates environmental and logistical risks by reducing the need to transport to out-of-state disposal and treatment. Looking further ahead, we remain highly engaged in pursuing new government and commercial opportunities. While the Department of Energy announced award of the OSMS procurement to a competitor of ours last Friday, this project offers significant opportunity for innovative waste treatment alternatives over the next several years, particularly for small businesses such as Perma-Fix. Additionally, we are targeting several new procurements expected over the next two quarters that could potentially bring in over $100 million in annual revenues to be awarded in 2025. The USS Enterprise procurement is a key focus with the proposals due in early January, and we're confident in the strength of our team's proposal for this competitive and innovative contract. Beyond that, we're pursuing projects at Y-12, Lawrence Livermore National Laboratory and several new commercial client opportunities with projected awards in Q2 of next year. While our nuclear services backlog appeared as lighter in Q1, we believe this is temporary, supported by a robust pipeline of significant opportunities to fuel growth through the first half of 2025 and beyond. To summarize, while we've faced market softness, we're seeing the trends subside as recovery begins to take hold. We're focused on strengthening revenue generation and improving productivity at our plants as evidenced by our increased waste receipts and operational upgrades. With the successful deployment of our PFAS technology and our role in a new large contract award, we've established a strong foundation for sustained growth and stability through the second half of 2025. Our strategic investments and commitment to expand both domestically and internationally are creating a clear path forward, positioning us to deliver long-term value for our investors. On that note, I'll now turn it over to Ben, who will discuss the financial results in more detail. Ben?
Ben Naccarato: Thank you, Mark. Let's start with revenue. Our total revenue from continuing operations was $16.8 million in the third quarter compared to last year's third quarter of $21.9 million, a decrease of $5.1 million or 23.2%. Revenue decreased in both our segments as the Treatment segment was down $1.7 million and the Services segment was down $3.4 million. In Treatment, the biggest impact to our revenue was lower volume. However, we also saw a lower average price. Impact on volume was from both reduced waste receipts, primarily from our government customers and also from production disruptions at our plant due to weather and equipment failure. Lower average price can generally be attributed to waste mix. However, we did see encouraging price increases in both our industrial waste streams and our TRU waste or transuranic waste streams. Our lower overall average price was down mostly from waste mix, but also was impacted by the equipment breakdowns, which pushed processing towards lower-priced waste streams. In the Services segment, the decrease is due primarily to the significant completion of two large projects, which were replaced by smaller projects in 2024. On the gross profit side, for quarter was $1.3 million compared to $4.5 million in Q3 of '23. Gross profit in the Treatment segment dropped by $1.1 million as the lower revenue negatively impacted gross profit, and we did see higher fixed costs of about $285,000, mostly from higher payroll. Our gross profit was positively impacted by approximately $369,000 processing of more profitable waste, which had higher incremental margins. In our Services segment, gross profit was down $2.1 million, lower revenue again impacted the gross profit by $1.2 million and lower margin project work resulted in a negative impact of about $1 million, and this was offset by lower fixed costs of $170,000. Turning to SG&A, our costs for the quarter were $3.6 million compared to $3.9 million in 2023. That's a decrease of about $301,000. Reductions in legal fees, trade show expenses, board expenses, incentives and health insurance costs offset some increases in wages for sales, people and commissions related to our international operations. Our net loss from continuing operations was $8.8 million compared to $246,000 income last year. And of course, this includes a noncash tax expense of approximately $6.4 million as the company provided a full valuation allowance against our U.S. deferred tax asset. Our net loss for the quarter was $9 million compared to last year's net income of $341,000. Again, this includes the tax expense of approximately $6.4 million related to the valuation allowance. And our total basic loss per share was approximately $0.57 compared to basic income per share last year of $0.03. EBITDA from continuing operations for the quarter was a negative $2.1 million compared to prior year income of $1.2 million. Turning to the balance sheet in comparison to 2023 year-end. Our cash on the balance sheet is at $10.6 million compared to $7.5 million at year-end. Our accounts receivable and unbilled receivables were down $2.1 million, primarily from the lower revenue. Intangibles and other assets were down $3.3 million, primarily due to the impact of the valuation allowance, which reduced our net deferred tax asset by $4.3 million, and this was offset by increases to our finite risk sinking fund and an increase to our permits. Our current liabilities were down approximately $3.3 million, reflecting lower operating costs, timing of vendor payments and other liabilities. Unearned revenue was down approximately $1.4 million compared to year-end. At September 30th, our treatment backlog was $7.8 million compared to $8.7 million at the end of December 2023, plus an additional $2 million for a direct ship waste stream that we had at the time. Our total debt at quarter end was approximately $2.6 million. This excludes debt issuance costs and is mostly owed to our lender, PNC Bank. Next and finally, I will summarize cash flow for 2024. Our cash used by continuing operations was $11 million. Cash used by our discontinued operations, $468,000. Cash used for investing of our continuing operations consisted of approximately $2.2 million for capital spending and $577,000 for additions to our permit and other intangible assets. Our cash for investing in discontinued ops was $49,000, and our cash provided by financing was $17.8 million, which represents the net proceeds from the equity raise of $18.5 million, less monthly payments to the term and capital loans of $667,000, payments to related finance leases and other debt of $287,000 and receipts from options and warrant exercises of approximately $264,000. With that, operator, I'll turn the call over to the questions.
Operator: Thank you very much. We will now be conducting our question-and-answer session. [Operator Instructions]. Thank you. Your first question is coming from Howard Brous of Wellington Shields. Howard your line is live.
Howard Brous: First of all, Mark, Ben, Lou, congratulations on setting up these transformative opportunities for '25 and '26. So specifically addressing those opportunities, it's a myriad of them, PFAS. The effluent starting and, I guess, it's no later than August 1, 2025 from the first Vit plant, West Valley margins, USS Enterprise, grouting. Can you discuss all of those in terms of, one, opportunities in terms of revenue and margin? I'm not looking for obviously any EPS guide, but revenue and margins would be helpful. And also the opportunity in the ITDC contract?
Mark Duff: Okay. There's a lot in there. Howard, let me see if I can get all of that. So let me know if I leave something out, okay. So let's begin with PFAS. PFAS is, as we've talked in the past, is still developing, and but it's generating revenue now. And we've been very cautious about projecting too much, because we're still in a learning stage for the operations. We have projected revenues in '25 to be in the $3 million to $5 million range. I feel that's pretty conservative. It also assumes that we'll have another unit in the latter half of the year of some type, and we're working through that right now what that's going to look like, where it's going to be deployed, how big it's going to be, how much it's going to be able to take. We are encouraged by sales. Again, now that we have a unit that we can actually treat waste and sales takes a different spin as to make a commitment on our facility that's not operational. Now we're operational, we're in a better negotiating position with our partners and getting lots of attention in the industry. So that's going to continue to unfold. I hope we can do better than that, but that's pretty realistic for the first 12 months as we focus on optimization. On the effluent, again, we don't have a lot of information other than that DOE continues to reaffirm the schedule, and that schedule has been that they begin hot commissioning this summer. They haven't given exact dates, but we anticipate it to be before August. Hot commissioning, they recently defined as very specifically receiving tank waste. So they have about 800,000 gallons they pumped from the tanks that have been pretreated, ready for DFLAW. And so they've got the backlog there, and they're ready to go as soon as coal commissioning is over, which is again anticipated to be late spring. And then hot commissioning, they'll start treating. Once they introduce the actual tank waste into DFLAW, they'll start generating effluent and we'll begin to receive waste sometime after that. It's very difficult to define how much we're going to get of each type of waste stream. And again, there's six to 10 different waste streams that we would anticipate getting from this. But we definitely see several million dollars in revenue beginning in late or probably sometime in Q3. And that will be sustainable and increasing as the facility gets rolling and they go full operational. On the West Valley, I can't say anything about West Valley right now. It's really important to understand that it's in the protest period. We can't do any type of press release or discussions outside of what's already been in the press release. So I'd refer you to the press release that the Department of Energy put out for information. It's pretty much an ongoing procurement until that protest period is over, as I mentioned in the notes. So we can't get into that too much. On the Enterprise, that's also an open procurement right now. The RFP finally came out. It was delayed for a long period of time, like 9 months, and it came out in September, due January 6th. And we're working very actively on that as we speak. It looks like there's going to be two or three competitors that we know of, but we have a very strong team, and we're very well positioned for that, but it is a competition. And as far as grouting is concerned, as we've talked before, the Hanford Systems 10 document that was published, I believe, in January of '24 this past year, specifically said that they anticipated beginning grouting in January of '26. That's the most current information we've got is that document. Along the way, they have put out a procurement for the very large extraction system. It's about $100 million type of system. That's not going to be in place for a couple of years. But we're not able to understand from DOE what they plan to do in the interim before that system is available. And so it's difficult to really project when grouting is going to begin at this point other than what they've said in that the systems document overall. We did begin meetings with ITDC just, I believe it was last week in Hanford and trying to get a sense of what's going on. They are going through transition, which is a very crazy time out there with the new team taking over, a whole different contract with all kinds of different scope. So it's very difficult to understand what's coming and going in regards to opportunities. But just informal chat, they are looking at about $500 million a year in small business goals in regards to revenue and the contract. They do have several small businesses on their team that were part of the procurement, which will have first crack at some of that. However, they're not in our space. They do other types of services, they're not waste management. So we remain optimistic. But they will be competed, because we're on the team. And but we do have, as we've said before, a very significant advantage to have our facility out there and to be part of the community in a big way with our facility. So a lot of that remains to be seen. And we'll unfold here as soon as transitions over sometime after the first of the year. So I think that covers most of what you asked for. Howard, did I miss anything?
Howard Brous: No, you didn't. But I'd like to be a little bit more specific. My understanding that's a public understanding that the USS Enterprise is going to be torn apart and the radioactive material is going to be sent to Hanford for "commercial treatment." I don't think there's anybody else other than you that's located at Hanford?
Mark Duff: Yes. I think it's a little different than that, Howard. The reactors have been defueled at this point. So the RFP state. So it won't necessarily have to go to Hanford. It can go to a commercial facility somewhere between where the ship is dismantled in Hanford. So that remains to be seen in regards to the technical approach and will not necessarily have to go to Hanford. So that's really undetermined at this point. Did I answer your question, Howard?
Howard Brous: Yes, just two more items. You discussed Germany and Mexico I think two conference calls ago. Can you be a little bit more specific as to the opportunities there? That's it.
Mark Duff: Yes. We did win a job with the Laguna Verde reactor in Mexico several months ago. I think it's probably 6 months ago by now. We're getting through the testing phase. We've already started generating revenue for it by doing some characterization down there at the reactor for their large inventory of stored waste. And we're going through the shipping administration part of it right now, which is quite complicated. But it's on track for I believe it's second quarter, late first quarter to start shipping. Canada, we've also secured a larger waste stream for shipping some waste to us as well down to our DSSI facility here in Oak Ridge. And as far as Germany goes, we continue to put several large shipments in queue. In other words, the paperwork is in place. We're expecting the first shipment in December. It could bump into January, but in that time frame and another one next year as well. We are working with them on other brokering, and that looks promising for that to begin sometime in the summer of '25, but still is in the negotiation stages. So as I said in the notes, all that total is about $7 million in revenue between Q4 and Q2. So through the period of time that we typically have less receipts, it does also address the risks that we've seen in the past for an extended CR by getting international way. So we are optimistic that if those things happen on time as expected, that it will help support a stronger Q1 and Q2 that we've seen in the past.
Howard Brous: That's all I got. Mark, thank you kindly. Good luck.
Mark Duff: Thank you, Howard.
Operator: Thank you very much. [Operator Instructions]. Thank you. Your next question is coming from Aaron Spychalla of Craig-Hallum. Aaron your line is live.
Aaron Spychalla: Yes, good morning Mark and Ben. Thanks for taking the questions. Maybe first, it sounds like I understand that you're working through some near-term challenges. And you kind of addressed it a little bit, but could you just elaborate on how you're thinking about the near-term kind of fourth quarter and kind of starting 2025? You just mentioned some of the international ops and just thinking about potential for another CR and just how things are shaping up over the next handful of quarters for you?
Mark Duff: Yes. Q4 is certainly much better than Q3, the direction it's going right now. It's much more stable in regards to waste receipts. As we've discussed before, we had pretty soft waste receipts in Q2 and Q3, coupled with just a lot of issues at plants between facility upgrades and other things that were planned as well as two hurricanes and a number of other issues that we're dealing with it's been in Richland or Hanford that all came at one time. It seemed like those really are behind us. It doesn't mean we won't have anything else coming. But right now, we certainly don't see it. And so we have a good stable backlog at all of our plants. And DSSI has been the one that's been a little bit back on its heels in regards to backlog with the Canadian project that we see coming here in the next couple of weeks. That will give us good backlog there. So to answer your question, waste receipts look very good for Q4, which will get us into Q1. Again, we try to keep waste backlog in the $8 million range, which is enough to get us through the next quarter. So we're sitting there right now. So that looks really good on waste receipts, again, something good at any plants, there's always a risk of that. But right now, we're chugging along pretty well with some pretty good stability. On the Services side, we are a little bit light, as I mentioned in Q1. We can move up and down with our cost of goods sold with Services. In other words, we don't carry a lot of people on the bench when revenue goes down or project backlog is down. We do have a number of bids we're waiting on as well as a number that are waiting to mobilize. So if all this happen on time, we think we'll be in good shape. Q1 always takes a dip in revenue because the winter months make it tough for working in the field. But we're pretty optimistic that with the new award that we're hoping to get through the protest period on that will provide some good stable foundation for work when transition is over, hopefully by May. So the next couple of quarters look better than last year with most of our investments now. Our big investments on PFAS are behind us. We still have some ahead of us. Obviously, we want to keep pushing hard. But we put a lot of resources on those programs, as I mentioned, and spent a lot of time on it. It was all of our management team. And now we've got a good path forward and can start generating revenue. The impact from those investments should subside some. But we definitely have the pedal to the metal moving forward on sales and operations now. Does that kind of answer your question, Aaron?
Aaron Spychalla: It does. Yes. And thank you for the color. And then maybe just second on the balance sheet. Can you just talk about how you're feeling there and an update on where you're at kind of with CapEx and capacity initiatives as you prepare for Hanford starting next year and just some of the other opportunities you've discussed?
Ben Naccarato: Yes, Aaron, I can address it. The balance sheet is in good shape. Obviously, we're happy that our debt remains low. The working capital is in a good range. So it really kind of comes down to the next phase of initiatives from a cap spending standpoint. And that's what we're kind of working with Mark's group, with the operations guys and the R&D guys. But right now, we're pretty comfortable with our general numbers.
Aaron Spychalla: I mean, as Hanford ramps kind of 2025 and 2026, just how are you feeling about the capacity there at Richland and just expanding that?
Mark Duff: Yes. Right now, we're in a good position to handle at least the first six to eight months of capacity without any problem at all. The way we anticipate that those melters come online is that we can handle getting rolling, and we have enough time to ramp up with the receipts that allow us to make those investments for the most part as they're coming. So as we see it ramping up, we do have a design of our facilities pretty much complete conceptually and some formally that we know what we need to invest in. And once we see the melters coming online, we'll start making those investments. So we're in good shape for more like six to eight months after we start receiving waste in the summer. And as we see it going, we can make those adjustments and continue to add capabilities within the existing buildings we've got. So we don't see having to build anything new. We really see the need to go to multiple shifts initially and then to add new equipment to be able to handle the whole 8,000 cubic meters a year based when they're fully operational.
Aaron Spychalla: Understood. Thanks. And then maybe can you just touch on, I think, Ben, you mentioned the TRU waste, been seeing more headlines on transuranic waste out of Idaho. Just maybe talk about what that opportunity broadly looks like for you with TRU waste in that market.
Ben Naccarato: The TRU waste from Idaho, Aaron, can you elaborate on specifically what you're referring to in the TRU waste from Idaho?
Aaron Spychalla: Yes. Well, just starting to see broadly in the market a pickup in that type of a waste stream. And just curious how you're positioned there to help address that.
Ben Naccarato: Yes. If you're referring to the TRU waste, which is a specific kind of waste right now, that's beginning to see a lot more funding and visibility as DOE works off their backlog towards the closure of all their sites, some of the harder wastes are left are remaining to be dealt with. And those largely include the TRU waste, which is, as I said, a different classification of waste that is alpha emitting. SPRU in New York, near Albany, Schenectady as well as West Valley as well as Idaho and Hanford and Los Alamos, all have significant quantities of TRU waste and are all struggling with, or not struggling, but working towards reducing that waste volumes. We deal with a lot of that. And we're really the only commercial company that does TRU waste management, or what they call TRU waste management. And what we do is we treat it at our Richmond facility, what we do is decon as much as we can so we can generate more little of a waste and reduce the amount of waste that has to go to very expensive disposal down in Carlsbad, New Mexico at the WIPP facility. So that's a real burgeoning market for us. And we see that growing significantly in the next couple of years with some of the other sites beginning, especially smaller sites beginning to ship TRU waste to a commercial facility for processing. So it's already a backbone of our Northwest plant now. We do anywhere between $500,000 and $1 million a month in TRU waste processing for Hanford, and we see it only increasing at the other sites.
Aaron Spychalla: Great. Thanks. And then just maybe last for me. Can you kind of touch on the election and some of the administration changes and just how that might or might not impact you moving forward?
Mark Duff: Sure. Yes, I was expecting that question, Aaron. A couple of things and given a lot of thought to this and talking to our lobbyists and some other colleagues in the industry, three points I'd like to make. First is the first Trump administration was quite good to the EM, the OEM division. Budgets grew. They were stable at least, but they did grow. And secondly, the Trump administration brought in a group of leaders from industry that were quite aggressive and seeing progress, and particularly at the Secretary levels, which is the most important ones for us. And that change should help overall for our goals. And the reason I say that is because what Perma-Fix has to offer is commercialization of waste treatment along with our services group. But the commercialization of waste treatment is a strong selling point for the first Trump administration. We expect it to be for the second, especially in light of cost savings that they're looking for and outsourcing to an organization that already has the buildings permits and capabilities to do that. We will be pushing very hard on commercialization as an offering, and we expect that to be well received by the new administration. So we see it very positively. It's always frightening here about looking at budgets and those types of things. But I think most of the commitments that departments in that we are focused on are driven by regulatory requirements for progress and moving waste and permits that drive that as well as state agreements. So I think most of those will stay stable, and we expect commercialization to be a broader theme that we will get some good traction with the new administration, particularly within the Department of Energy.
Aaron Spychalla: Got it. Appreciate all the color. Thanks. I will turn it over.
Mark Duff: Thanks.
Operator: Thank you very much. Your next question is coming from Aaron Warwick of Breakout Investors. Aaron, your line is live.
Aaron Warwick: Hey guys, thanks for all the detail you provided on today's call. I wanted to ask about the PFAS, and you mentioned some partnerships. It sounds like there's some discussions going on there. I think the last time we talked, you said there had been some conceptual discussions, but it hadn't gone too far. It sounds like maybe that's progressed now that you have an operational plan. I was just wondering if you could comment more on the state of those discussions and what the partners would be wanting to see from you now before potentially closing on a deal?
Mark Duff: Yes. Let me just give you a good example, Aaron. I appreciate the question. A good example of the partnership we're talking about is what has been difficult with this whole industry is defining where we fit, where our technology fits into the TAM. And knowing that there's other competitors that are all developing systems, they are all at different phases of deployment and operations. But the ones that seem to be farther ahead of everybody is the technologies we call concentrators. They don't destroy PFAS, but they take large volumes of PFAS contaminated water like leachates from large landfills. And they concentrate those. In other words, they clean up the water so they can be released and they end up with a concentrated vessel of PFAS contaminating liquids. So what we're looking at right now is working with some of the firms that have developed those concentrators, sometimes they call them fractionators. There's other terms for them. And working with them to be in partnership so that we're the ones they send the high concentration PFAS to. Our system, its sweet spot in the market is high concentration destruction, complete destruction. So we're not going to do as well with 250,000 gallons of surface water or leachate that's very low concentration because we just can't, like I mentioned, we're doing 650 gallons a day, but we can take the highest concentration of PFAS. It comes in a form that looks like jello, and we can run it through our system and it works fabulous. So that's really where we are in the market and partnering with firms that have some concentrators out there that are operating now. That's one component to where we are. There's other components that also out there, but that's just one example of a partnership with firms that do that and have developed these technologies for concentrating to do alignment. We're also looking at doing what we call changeouts where we're going to different plants and actually taking the PFAS out of their system so they can put new firefighting foam into their system, a compliant foam and actually doing the services itself and partnering with companies that do that type of work, which would support sending the foam directly from the plants that have the systems to our facility for treatment. So those are the types of partnerships we're putting together at a high level for each one of those and will lead to a sustainable waste receipts at our facilities. And now that we're operational, we can start moving forward on making these things happen.
Aaron Warwick: Are those types of partnerships that you would be announcing? Or are those just something that would be the normal course of business?
Mark Duff: It would depend on which companies we align with, but I would definitely hope that we could do announcements and would pursue that as long as it was mutually agreeable.
Aaron Warwick: And when are you expecting that to be like those types of things to be finalized? I guess, I just don't know what they would be looking for if it's like you got to be running it every day of the week. I think you said right now, you're doing two to three days a week, if it would be a bigger plant and kind of what they're looking for to feel comfortable?
Mark Duff: Yes, we're hoping to start securing those in the December, January time frame, once we got to get a little bit further along, but there's some other hoops you got to jump through when working with companies like that and getting agreements nailed down at senior levels. And so we hope that's the situation. We do think that by the January time frame, we'll be in efficient operations for our current unit, where we're running every day. And we can always go to multiple shifts if we get the backlog. So January, gives us about six weeks to get the system really tuned and all of our guys, same team is working on getting that done right now and making the upgrades we need to get it to an efficient operation. So through Q4, we're looking at a $100,000 to $200,000 in revenue as we work through that and then significantly do better on a production scale beginning in Q1.
Aaron Warwick: So are you thinking, I mean, is this 650 gallons, do you think that that's going to be the limit for an 8-hour shift like permanently? Or do you think you can get more out of that? And then also, you kind of alluded to potentially being able to run more than one shift. So I guess what's your thinking on those two things?
Mark Duff: We're trying to optimize that, Aaron. And a lot of it depends on what level of destruction our clients want. In other words, where it's going to go afterwards. Does it go into a POTW or wastewater treatment plant? Or does it go in some other way, there's other options to dispose of the PFAS. If we have the option to dispose of the effluent in a landfill or a deep well injection, we may not have to process it as long. In other words, it's a function of what percentage of PFAS needs to be destroyed. So we are looking at that optimization. Our next generation plant will be much larger and more efficient in regards to how much it can do a day and hopefully getting into the thousands of gallons a day. And as I said, we're hoping to have that design and installed here second half of the year. But right now, it's going to be probably pretty close to 650 gallons a shift on that.
Aaron Warwick: Okay. And are there still any thought about the licensing opportunities with your technology?
Mark Duff: There is. And we're certainly open-minded to that. We're certainly focused on getting a good file of data on how it performs first and then pursuing interest in that. But we've already had initial discussions with large firms about it. And there isn't an apparent technology that's very mobile or even at all something you can put in someone else's location in regards to our competition. This technology would support a small unit that could be deployed. We're going to have to design that and show that it works and fabricate one first. But right now, we're pretty much focused on getting our Gen 2 or getting Gen 1, the first one up and running efficiently and consistently and then getting the Gen 2 system designed and installed as well, hopefully in the next six months, eight months.
Aaron Warwick: Great. I'm really impressed with how quickly you guys have gotten to this point. So congratulations on that. Thank you for your time.
Mark Duff: Thank you. We appreciate your support, Aaron.
Operator: Thank you very much. Your next question is coming from Nicholas Booth [ph] of Waterford Holdings. Nicholas, your line is live.
Unidentified Analyst: Hello, yes. Just a quick question about Hanford. So it's my understanding that the DOE DFLAW facility lacks the capacity to vitrify all 50 million gallons of the low-activity waste. So I'm just curious about the prospect of Perma-Fix grouting some of that supplemental law in addition to the effluent and what the timeline on that might be? Thank you.
Mark Duff: Yes. I appreciate that, Nicholas. And that's an important point you're making. Right now, the DFLAW system, as we've been told, is designed to treat about 1 million gallons a year at full capacity. And that's as received. So it takes some water, some liquid to mobilize the waste in the tank. So one could say that literally, it takes about 2 gallons to get 1 gallon of waste out of the tank. So literally, the amount of waste at Hanford is closer to 150 million gallons, depending on how efficiently you can get it out of the tank. Now they're developing new technologies for that. So that number could change. But the bottom line is, it's a lot more than 50 million gallons. And this is only going to do 1 million gallons a year. So it's going to go a long time, and that number is probably closer to 100 million gallons to 150 million gallons total. So what DOE has published is their intent to implement a grouting program for the West area tank farms, which is about half the tanks. The West area tank farms are not currently plumbed or don't have the infrastructure to pump that waste to the DFLAW facility. They're in a separate area. And DOE has made the decision, which we certainly applaud to grout to pump those tanks and send them to off-site treatment for grouting. The procurement I mentioned was to build that pumping system, extraction system at the West tank farms to support pumping the waste out of the tanks, stripping them through ion-exchange for the cesium and iodine that are in it, so that they can be handled at a more safe manner and then shipping that waste once it comes through that system to commercial off-site facilities, including ours. As we mentioned before, we're the only one that's local. The other two are in Texas and Utah. So we have a very strong ability to make sure we get the majority of that waste, but DOE does like competition, and they are looking at other alternatives out of state. So to answer your question, that whole West area, they are planning to do grouting on. That system I mentioned that they're procuring will do about 3 million gallons a year is the design spec for that system. It will be several years where that system is completely up and running. We're optimistic that DOE will find alternative opportunities for grouting by using the existing system that's in place on the East tank farms or what they call the tusker. But DOE has not come forward with information about what they're going to do in the interim between that large system coming online at 3 million gallons a year versus the one they have in place now, which is the tusker system, which is the one that generated that 800,000 gallons I mentioned earlier that's currently in storage. So I think a lot of that's going to be addressed by the new administration and the new Secretary eventually nominated for that position at EM, the OEM. And we're hopeful that, that will be sooner than later as recommended by National Academy of Sciences and numerous congressional statements as well.
Unidentified Analyst: Yes, really appreciate it. Thank you.
Mark Duff: Thanks, Nicholas.
Operator: Thank you very much. Your next question is coming from Jim Gerson, who's a Private Investor. Jim your line is live.
Jim Gerson: Yes. Just a quick one. Thank you for all the information so far. I was just wondering what the reasoning behind the write-off of the deferred tax asset was.
Ben Naccarato: Yes, I'll take that, Jim. This is a very subjective GAAP rule, and it relates to your net operating losses and the ability to use them. If you're familiar, those losses typically are an asset to the company because when you make money, you're not going to pay tax on that amount. There are some pretty specific rules on three year look back of your losses. And unfortunately, the company has suffered some losses in the past three years that suggest that it's possible we would not be able to utilize all those losses in time. Because of the real strict guidance that's out there, the approach was to reserve it effectively. That's what we've done is we put a reserve on that asset, no different than a bad debt allowance. And as you start to make money and utilize your profits, that reverses out. So it's kind of a paper transaction. It's conservative in our opinion, but it's the right approach right now. And again, doesn't really impact the cash flow of the company. Q - Jim Gerson Thank you.
Operator: Thank you very much. And your next question is coming from Ross Taylor of ARS Investment Partners. Ross your line is live.
Ross Taylor: Thank you. I just want to go back real quick, Mark, on the economics of PFAS. You're now talking about, you're basically going to treat a higher-end product or a more concentrated product. So I would assume there's been a lot of debate as to what you would get on a per gallon basis of treatment. When I kind of look at your math, it looks like you're talking somewhere between $75 and $150 a gallon. Is that kind of an accurate expectation for what you would be getting as you treat this?
Mark Duff: It's a good question, Ross. Right now, it's a really hard question to answer because we're trying to show performance. And the price per gallon right now for someone to send it to deep well injection or incineration, which is not palatable to everybody, that cost range for general PFAS contaminated liquids is in the $15 range, $10 to $15. But that's for everything. The higher concentration, we've seen as much as $45 to $50 a gallon. So it's somewhere -- it's a really broad range as we sit right now. So if we work with the concentrators, that number goes up dramatically as we get the higher concentration stuff. But it's not as high as the math you're showing. It is lower. And for the very low level -- low-end stuff, it's closer to $10 and goes up to $50 for the higher concentration. But a lot of it, the reason it gets difficult to nail down, Ross, and I can't give you a better answer is because it largely is associated with volumes. We can get $45, $50 a gallon for a pickup or a flatbed full of or pallet full of AFFF. But if you got a large quantity of it, that number -- that price would go down because it'd be a lot cheaper to handle. And the logistics has a big impact on it, too. So it just really ranges on how big your clients are and how concentrated it is. And we think this number is going to go up altogether, Ross, when EPA promulgates the destruction requirements and begins to call this hazardous waste under CERCLA, which we do anticipate that to occur sometime in the first half of next year. When that occurs and the clock starts ticking with people, that will change the market completely. And that's why it's been such a rush for us to get to market so we can get this thing grandfathered and get it in places and be ready when that happens. And those rates will likely go up.
Ross Taylor: Okay. And then on an operating margin basis at run rate, should this be as profitable as most treatment? Or is it going to be more profitable would you think?
Mark Duff: We are planning on being a little bit more than as profitable as most of our waste is. We are finding that there's opportunity to recycle some of the chemicals and resources we're using for operation, which will lower this cost and become much more profitable than our typical margin. But for our planning purposes, we're assuming our typical margin at this point.
Ross Taylor: Okay. Cool. Great. Thank you and congratulations on the progress you've made.
Mark Duff: Thanks Ross.
Operator: Thank you very much. Well, that appears to be the end of our question-and-answer session. I will now hand back over to the management for their closing remarks.
Mark Duff: Okay. Thank you, Jenny, and thank you for joining us today and for your continued interest in Perma-Fix. We do remain confident in the outlook of our business, moving forward on operational improvements, the successful launch of our PFAS treatment technology and the strategic roles for major projects like the one that was recently awarded by DOE. Additionally, our opportunities at Hanford, including the upcoming DFLAW waste processing and positions us for long-term growth, together with our expanding international presence and robust project pipelines. These advancements lay a solid foundation for our future, and we deeply appreciate the support of our shareholders and look forward to providing further updates as these developments unfold. So thank you very much.
Operator: Thank you very much. This does conclude today's conference. You may now disconnect your phone lines, and have a wonderful day. Thank you for your participation.